Operator: Good morning. Welcome to the Archrock First Quarter 2024 Conference Call. Your host for today's call is Megan Repine, Vice President of Investor Relations at Archrock. I will now turn the call over to Ms. Repine. You may now begin. 
Megan Repine: Thank you, Ally. Hello, everyone, and thanks for joining us today's call. With me today are Brad Childers, President and Chief Executive Officer of Archrock; and Doug Aron, Chief Financial Officer of Archrock. Yesterday, Archrock released its financial and operating results for the first quarter 2024. If you have not received a copy, you can find the information on the company's website at www.archrock.com.  
 During this call, we will make forward-looking statements within the meaning of Section 21E of the Securities and Exchange Act of 1934 based on our current beliefs and expectations as well as assumptions made by and information currently available to Archrock's management team. Although management believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to be correct.  
 Please refer to our latest filings with the SEC for a list of factors that may cause actual results to differ materially from those in the forward-looking statements made during this call. In addition, our discussion today will reference certain non-GAAP financial measures, including adjusted EBITDA, gross margin, gross margin percentage, free cash flow, free cash flow after dividend and cash available for dividend.  
 For reconciliations of these non-GAAP financial measures to our GAAP financial results, please see yesterday's press release and our Form 8-K furnished with the SEC. I'll now turn the call over to Brad to discuss Archrock's first quarter results and to provide an update of our business. 
D. Childers: Thank you, Megan, and good morning, everyone. With a strong first quarter in the books, 2024 looks to be a promising and exciting year. Momentum in Archrock's earnings power is carrying into 2024, reflecting our excellent operational execution, high-quality asset base and innovative processes and technology. Among the highlights, our net income of $41 million was up from $16 million in the first quarter of 2023.  
 Adjusted EBITDA of $131 million was up $34 million or 35% versus the prior year period. This increase was driven by pricing and profitability gains across all segments. We maintained our sector-leading financial position, driving our leverage ratio to an all-time low of 3.2x. We continue to increase shareholder returns. Our quarterly dividend per share was up 10% compared to a year ago, all while maintaining robust dividend coverage of 3.2x for the quarter.  
 In addition, we continued repurchasing shares under our buyback authorization. With inception-to-date program purchases now totaling more than $10 million at an average price of $12.11 per share. As Doug will discuss, because of our strong first quarter performance and confidence in our business outlook, we have raised the midpoint of our adjusted EBITDA guidance for the full year. Given the magnitude of the operational and financial improvements we've achieved as well as the consistency and execution we've demonstrated, I'd like to take a moment to pause and say a couple of things.  
 First, I want to thank our employees. Our performance is the result of the dedication and operating expertise our employees bring to deliver leading safety performance and excellent customer service each and every day. Thank you to the team. Thank you for leading at Archrock and for a job well done. Second, I want to expand further on the remarkable and enduring business we've built. This year marks the 70th anniversary of our company's founding. And we kicked off celebrations with the ringing of the opening bell of the New York Stock Exchange last Friday.  
 This milestone has given us the opportunity to reflect on where the company has been, the premier compression company we've built and the promise that lies ahead of our transformed business. From our first rate customer base, to our highly standardized fleet and excellent customer service for which we are known in the field to our most recent digitization and emissions reduction efforts, the actions we've taken to enhance our business should benefit our performance for years to come.  
 We also continue to have confidence in the strong compression market fundamentals and see 3 primary drivers which should support a sustained opportunity set for our truck. First, growth in natural gas production. The U.S. natural gas production forecast we track are indicating flat natural gas production for 2024 following a record production year in 2023. Associated gas production in key Archrock oil-producing markets like the Permian, however, is still expected to increase.  
 That forecasted increase in Permian natural gas production is certainly consistent with the increase in compression demand we have and continue to experience there in 2024. In addition, the pause in total U.S. natural gas volume growth is expected to be short-lived given the visible slate of global LNG projects that have already been approved and sanctioned and are expected to result in increased U.S. natural gas production over the next 5 years and in a sustained call on U.S. natural gas production longer term.  
 Domestic power generation could also provide upside to current domestic natural gas demand and production estimates as we're just beginning to understand the magnitude and timing of the possible opportunity that onshoring of AI data centers creates. The second factor is the heightened capital discipline across the energy sector. Our customers, peers and suppliers are balancing growth with returns to shareholders.  
 After years of poor financial performance within the energy space, investors are demanding higher financial returns, and we believe the increased level of capital discipline that we're seeing throughout the oil and gas value chain supports this inflection. Third and finally, we're excited to be a crucial part of the value chain to provide cleaner, affordable and reliable energy to the U.S. and the world in the form of natural gas.  
 Through Archrock's incremental investments in electric motor drive compression, and our work to bring methane emissions detection, measurement and capture solutions to market. We intend to do our part. Success by the sector would help extend the use of our affordable and abundant natural gas resource as a low emission source of reliable power generation as well as the use of billions of dollars of existing energy infrastructure for decades to come.  
 Moving on to our segments. Our contract operations business segment continued to show broad-based signs of strength, including historically high levels of utilization, pricing and profitability which we currently expect to maintain throughout the year given tightness in the market. A few observations of what we're experiencing will help demonstrate the market strength we are seeing.  
 Demand, pricing and returns for new build equipment remain robust. We are sold out of 2024, and we continue to book equipment well into 2025. While the growth continues to be led by the Permian, we're also seeing demand for new equipment in other markets, including the Rockies. Similar to 2023, stock activity remains at low levels. And market tightness in associated gas plays, like the Permian, is being further supported by demand for gas lift given its cost effectiveness and reliable uptime.  
 Today, gas lift represents around 22% of our operating horsepower. This strength is evident in our quarterly performance metrics. We exited the first quarter with near record utilization of 95% and based on what we see in the Markets Day, we expect to be able to maintain utilization in the mid-90s this year. Given high levels of horsepower utilization for Archrock and the industry, we're maintaining the pricing prerogative and capturing additional rate increments.  
 The first quarter marks our 10th consecutive quarter of sequential increases in our monthly revenue per horsepower, which increased by 5% to $20.62. Continued price increases and strong cost control drove an increase in our gross margin percentage to 65% up 700 basis points year-over-year and 100 basis points compared to the last quarter. Looking ahead, we're focused on defending this high level of profitability and remain ambitious about driving additional profitability gains, especially as we leverage the capabilities of our investments in innovative technology to digitize and increasingly automate our operating platform.  
 The Aftermarket Services segment had a solid quarter during what is typically a seasonally slower period. Revenues were up 8% year-over-year due to higher pricing and a great service is driving repeat business with customers. First quarter profitability exceeded our guidance expectation as we continue to focus on higher quality and higher-margin work. Shifting to our capital allocation framework for 2024. We remain committed to free cash flow generation as well as our returns-based approach to capital allocation. We're increasing capital returns to shareholders.  
 Our recently declared quarterly dividend per share was up 10% on an annual basis, and our Board of Directors recently approved an extension of our share repurchase authorization with renewed available capacity of $50 million. We're continuing to meet the needs of our customer base through new build investments. These investments will be funded by operations and supported by attractive returns. Finally, we maintain an industry-leading balance sheet and leverage position. 
 With the debt we've repaid over the last 4 years, and more recently, the strong earnings momentum in the last several quarters, we are well within our target leverage ratio of 3 to 3.5x. In summary, we have confidence in the favorable and durable macro environment, particularly given strong oil prices, which are driving sustainable compression demand in our key associated gas markets led by the Permian Basin.  
 Our transform platform is delivering meaningful growth in quarterly revenue, gross margin and adjusted EBITDA. Strong cash flow is funding high-return investments in our fleet and increased return of capital to investors. While we also continue to maintain a sector-leading balance sheet and financial flexibility. As I opened with the call with, I am proud of Archrock's 70-year legacy. But with the market we see ahead at our transformed platform, I'm even more excited about our company's future.  
 With that, I'd like to turn the call over to Doug for a review of our first quarter performance and provide additional color on our updated 2024 guidance. 
Douglas Aron: Thanks, Brad, and good morning, everyone. Let's look at a summary of our first quarter results and then cover our financial outlook. Net income for the first quarter of 2024 was $41 million. This included a noncash $3 million long-lived asset impairment. We reported adjusted EBITDA of $131 million for the first quarter 2024. Underlying business performance was strong in the first quarter as we delivered higher total gross margin dollars for both segments on a sequential basis.  
 Results further benefited from $2 million in net asset sale gains related to nonstrategic horsepower sales. Turning to our business segment. Contract operations revenue came in at $223 million for the first quarter, up 5% compared to the fourth quarter. This increase was driven by higher pricing. First quarter 2024 exit utilization remained near an all-time high at 95% and but was down slightly compared to the fourth quarter of 2023 primarily because we took delivery of 19,500 horsepower of new build units in March that were included in the total available horsepower but not reflected in total operating horsepower as the units did not begin generating revenue until April.  
 On this point, please note that our utilization calculation methodology does not include newly acquired horsepower in our operating horsepower unless and until that horsepower is generating revenue even if the units are under contract, which substantially all of our current backlog is. Compared to the fourth quarter, we grew our gross margin dollars by 6%. This resulted in gross -- this resulted in a gross margin percentage of 65% compared to 64% last quarter.  
 In our aftermarket services segment, we reported first quarter 2024 revenue of $45 million down slightly compared to the fourth quarter due to seasonality, but up 8% on a year-over-year basis. First quarter AMS gross margin of 23% compared to the fourth quarter of 22%. We exited the quarter with total debt of $1.6 billion and strong available liquidity of $478 million. Variable rate debt continue to represent less than 20% of our total long-term debt.  
 Our leverage ratio at quarter end was 3.2x calculated as total debt divided by trailing 12 months adjusted EBITDA. This was down from 3.5x at year-end 2023. We remain committed to maintaining a consistent leverage ratio of 3 to 3.5x through cycles. In March, S&P Global Ratings upgraded Archrock's issuer credit rating to BB- from B+ with a stable outlook. S&P also raised the issue level rating on Archrock's senior unsecured debt to BB- from B+.
 The strong financial flexibility I just described continued to support increased capital returns to our shareholders. We recently declared a first quarter dividend of $0.165 per share or $0.66 on an annualized basis. This is consistent with the fourth quarter 2023 dividend level and up 10% versus the year ago period. Cash available for dividend for the first quarter of 2024 totaled $82 million leading to impressive quarterly dividend coverage of 3.2x. In addition to paying our quarterly dividend during the quarter, we repurchased approximately 83,000 shares for $1.2 million at an average price of $14.83 per share.  
 Last week, our Board of Directors authorized our reauthorized our share repurchase program, which was set to expire in April for an additional 24 months time period. The reauthorized share repurchases program allow us to repurchase up to an additional $50 million of outstanding common stock. Turning to guidance. We are executing well compared to the outlook we provided in February and are confident in our ability to sustain historically high levels of utilization, pricing and profitability for the balance of the year.  
 Considering excellent first quarter performance, we are raising our 2024 annual adjusted EBITDA guidance range to $510 million to $540 million from $500 million to $530 million previously. The midpoint of our improved guidance range represents an increase of 17% compared to $450 million in 2023. We now expect 2024 growth CapEx to total approximately $100 million. This is flat compared to growth CapEx of $190 million in 2023 and slightly higher than our prior guidance of between $175 million and $180 million as a result as a result of approximately $20 million in carryover cash CapEx for new equipment that was expected in late 2023 and was delayed.  
 For clarity, if I misspoke, our guidance for 2024 growth CApEx is expected to be $190 million. Importantly, we still expect to generate free cash flow after dividend, given the enhanced financial performance I just described, as well as the $14 million in nonstrategic asset sale proceeds that we generated in the quarter, which reduced our net CapEx forecast. Our full year 2024 maintenance CapEx forecast of $80 million to $85 million and other CapEx forecast of $20 million to $25 million, both remain unchanged.  
 In summary, we are delivering exceptional execution, reflecting 4 primary drivers, which are also contributing to Archrock's strong outlook for 2024. These drivers include our transformed platform our strong financial position and prudent capital allocation, a robust market for compression and a bright future for natural gas to meet the growing demand for cleaner energy. With that, Ally, we'd now like to open up for question -- the line for questions. 
Operator: [Operator Instructions] Our first question comes from James Rollyson from Raymond James. 
James Rollyson: Congrats on another fantastic operating quarter. Brad do you have -- you and I have had this conversation many times in the past that you've talked about kind of ultimately in a cycle like we're in, the upside on pricing is kind of driven by where returns ultimately are and what your customers will allow you to take before they would be willing to do the projects themselves. And if you look at kind of where those returns are today, given what's happened on the cost inflation side, and the offsetting pricing gains you've had. 
 I'm curious, your average revenue per horsepower per month, I think you said it was 2.5% this quarter. And recently at our conference in Orlando, I asked Doug about where leading edge was it was kind of in the mid-20s. I'm trying to understand where you think that pricing level can go given the backdrop of LNG of power demand growth, et cetera, mean I presume mid-20s maybe isn't the stopping point, but it's certainly kind of the near-term bogey to try and aspire getting your whole fleet to. So I'm just maybe some context around where you think leading edge is today? And where do you think that might go just based on the market backdrop? 
D. Childers: Thanks, Jim. A few comments. First, when I think of spot pricing on a year-over-year basis, the good news is that 23% to 24%. We still see pricing momentum and we see spot pricing up. Now though more in the single digits compared to what we experienced over the last 3 years. Second, we know we have an opportunity to continue to see pricing gains on the installed base, and we're excited about that. And it is reflected in our guidance for sure. 
 But that's the opportunity that we see on pricing is that the market is still supportive of price increases. And we like both what's going on a spot pricing basis as well as the opportunity to bring up the installed base, not just new starts. The second comment I'd make is that we would not give forward-looking guidance on pricing at a future range period. It's probably just not the prerogative of us to guide pricing or to set a future pricing level. So I'd like to just pull back off of that. 
 We're not going to be able to share a target or a range for future pricing for a lot of reasons. So just we don't really want to go there at all. But a real point that you raised in your question is that our returns are good, but the market is going to require higher returns going forward of our customers and of us. The price for new units today is up something like 30% of since 2021. Pricing and inflation for parts, pricing and inflation for the cost of labor are all up pricing had to go up to regain and recover that territory. 
 And candidly, we have. But in addition, cost of capital is up and returns on investment expectations are also up. As an industry, we have to deliver better returns as a business we have to deliver better returns, and we believe that our customer base is supportive of that because they're seeing the same demands from their investors. 
James Rollyson: Got it. That's helpful color. That's exactly kind of where I'm going just with kind of what the implication is for the trajectory of pricing from here. Maybe switching gears on the free cash flow side, I mean you guys obviously have continued to bring leverage down your dividend coverage climbed again to over 3x led to the dividend increase. 
 I'm curious how you think or how you and the Board think about distributing that cash. You boosted dividend 10% this last quarter. You just refreshed the buyback program. You guys have been probably lighter users so far on the buyback program, but trying to walk through maybe how you think about allocating that capital between debt repayment, now that leverage is in your targeted zone versus dividend growth versus using the buyback program? And are you just opportunistic on the buyback? Or like how do you think about that structure? 
D. Childers: First, we're really excited about the financial position and the financial flexibility that we have on our platform and in our structure and balance sheet today. We fully intend to be focused on generating great returns of cash to our investors. And it's an exciting time to be in the position we're in with the number of levers we have to pull. So starting off with the dividend. We acknowledge that 10% increase year-over-year has been good. 
 And with the financial performance that we have now, we will be revisiting that dividend rates with our Board every quarter to discuss what the right level is going to be. But note, our goal is to deliver a consistent dividend and dividend growth through the cycle. We're at a strong part in the cycle, and so we want to be thoughtful about how we do that. 
 Second, on buybacks, we are going to target being as systematic as we can be in execution of the share repurchases over time. That does take into account price and returns, however, because our entire approach is to put our cash where we can generate the best returns. And when we can do that for equity, we absolutely are going to do that for equity as opposed to debt because the returns on debt right now. We know what that looks like, and that's the easiest to compute. 
 And finally, we're in a position where the market ahead is going to be robust. What we see, and I said it in my comments, is flat natural gas production in the U.S. for 2024 is going to change in 2025 and beyond. Our customers are working on getting ready for that. We are working on getting ready for that as well. So we see a bit of a pause right now, but growth ahead. So that capital allocation is also going to go towards funding that growth for our -- the benefit of our customers. But finally, with the net result that we absolutely are going to work hard to generate free cash flow in the capital allocation scheme. 
 So that's the way we think about it, Jim. And we're just excited that we know that, that means we have future opportunities to return more capital to our investors. 
Douglas Aron: I would just say [indiscernible] one second, Jim. At the risk of being defensive, which is definitely not the intent when you reference slightly less usage perhaps under that share buyback program. I would offer as a differentiator against any other public compression company that we, I believe, are the only ones delivering both growth in horsepower, growth in dividend and a share repurchase program. And so I think all of those are shareholder friendly. And things that owners of Archrock have both appreciated and will continue to appreciate into the future. 
James Rollyson: Absolutely, Doug. It wasn't a slide against you? It was more just a relative where capital is going between dividend... 
Douglas Aron: I didn't take it that way. Just a short advertiser, but Jim, thanks. 
James Rollyson: Sure. Well, it's a high-class problem to have to choose which path to take of many. So congrats again, guys. Thanks. 
Operator: Our next question comes from Selman Akyol from Stifel. 
Selman Akyol: Thank you. Good morning. So, you talked about the gas lift market, and I was wondering if you could expand a little bit on that. What kind of opportunities do you see there? Maybe talk a little bit about the customer demand you're seeing there? And then does that also have similar economics relative to what you think of coming off the backside of the plants in transportation? 
D. Childers: Thanks, Selman. I'll talk about the market opportunity first. Number one, what we see for gas lift, it's grown proportionately with what we've seen for gathering stated differently, the percentage and mix of what we have for compression on gas lift on a horsepower basis has basically been a consistent percentage compared to the entire fleet in application to gathering and gas lift. 
 It's moved around a little bit, but been very consistent. So -- and as you know, gas lift is really directed for oil production. It's used to -- like an ESP or other technology to help relieve the pressure in the wellbore itself to facilitate production. So gas lift very directly tied to oil production as opposed to just pure gas production and gas gathering. 
 And that means that it's a good market because we see forecast for oil growth going forward, and especially in the Permian. So it's a super strong market. We're going to, I think, continue to see good growth there, and we're going to benefit from it. As far as the back part of your question related to what we see on the recompression post plant. No, they're totally different applications to be direct. That's much more of a transportation and gathering applications, than... 
Selman Akyol: Yes, I misspoke on that. I guess what I'm just curious if you think about just the gathering side of it versus the gas lift, is it the same contract tenor or is it the same pricing? Are you seeing all the same dynamics in one versus the other? 
D. Childers: Yes. The dynamics are very comparable. The economics are identical. Compression equipment is the same in both applications. 
Selman Akyol: Understood. And then you undertook an optimization effort, I guess, through data gathering. Can you talk about how is that going and where you see that? 
D. Childers: Yes. It's pretty exciting stuff, to be honest because over the last 3 years, we've added telemetry to every unit in the field with multiple points of data coming in off of the edge devices. It's being collected through a data engine that we are just starting to really figure out how to utilize very well to improve and drive great customer service, economics and efficiency in the field and the technicians and service managers that are really on the front end of utilizing that. 
 What's great about the information that's coming in is that on a preventative and predictive maintenance perspective, we can look at what's going on with the units remotely and start to diagnose and address issues before they turn into downtime. That's super exciting. We can do a lot of that work over the air through adjustments with increasing efforts to automate aspects of what we're operating in the field today. 
 So all of that, we believe, is going to continue to allow us to offer a differentiated level of customer service, and a much higher level of efficiency. We expect to have to roll the trucks and go touch the units less than in the past when we did not have this technology available for us. So it's a pretty exciting time. That's the way that optimization is working. 
Selman Akyol: Any ideas when we should start expecting to see that show up in margins? 
D. Childers: You're seeing some of that show up in margins already. And by the way, the beauty of that is the customers are also experiencing that at a customer service level. So when you think about the amount of profitability that we should be allowed in this business given the investments we've made, the improvements in service that we're delivering, we're pretty ambitious that we should be able to turn that into margin on a go-forward basis as well. 
Selman Akyol: Understood. And then last one, just in terms of following up to the last question and some of your answers there. You talked, I guess, about seeing LNG and talking about sort of robust growth ahead. And I'm just translating that in my mind to sort of CapEx budgets as you think about capital allocation. So I guess you're positioning us to expect higher expense going forward into '25 and '26? 
D. Childers: Directly, no. We are not positioning the expectation for higher CapEx in 2025. And yet, we are also not providing guidance for 2025. It's still really going in 2024. It's going to be a while before we can get there. But what I would say is that we're excited that the market remains as tight and as robust as we are seeing. We are not adjusting our allocation framework, and we're not trying to guide an expectation of a different level of investment in the future. We still remain very dedicated to returning cash to investors and to generating free cash flow. 
Operator: Our next question comes from [ Josh Chan ] from [indiscernible] Energy Partners. 
Unknown Analyst: I just wanted to back to something you noted on your last conference call that 30% of equipment is typically at least 70% owned. But in the Permian, that lease percentage is much higher. I was hoping you guys could just expand on why exactly that is and where you expect the Permian to rank from sort of an incremental horsepower standpoint over the next couple of years? 
D. Childers: Yes. Thank you for the question. First, the data on this is not 100% known. That is we don't have complete accurate visibility into the amount of horsepower owned and operated by all the customers. So our comments are, we believe, are directional and accurate, but not exactly just because that information is not available. So with that caveat, what I'd share is that the Permian was growing fast over the most recent period of time. 
 At a time when the entire industry, including the producers, and the midstreamers, service providers, compression service providers, we're all focused on capital discipline and leaning that in that was supportive of candidly more outsourcing for capital reasons, we think, by the producers and by the midstreamers than we had experienced before this most recent capital discipline. We think that was one driver. 
 The second thing that we know is a driver is the availability of compression experience  and labor. I think our customer base was very happy and looking forward to outsource more to the industry because it's expertise and labor that's available in us that was not necessarily one pocket of experience they want to build for themselves. So with those factors, I think, being the primary drivers of the market, we think that the amount of horsepower that's gone into the Permian has not been aligned with that 70-30 balance. 
 We don't know if it's more 60-40, but that's probably a fair estimate of what we think has happened in that part of the market. And as evidence of that, by the way, we know there's more compression that is operated by the outsourced service providers like Archrock and certainly including Archrock in the midstream sector than there ever has been in the past. So we think that the direction is clear. The numbers are not. 
Unknown Analyst: That's great. And maybe just one other question. Geographically, could you sort of walk around the areas outside of the Permian where you might expect to see growth. You mentioned the Rockies in your prepared remarks. I'm just curious how you see the other markets across the U.S. developing here, not only through the end of this year, but moving forward into '25 and '26. 
D. Childers: The pockets where we've seen the most traction and growth recently and what we expect to see so in the future outside of the Permian include certainly the Rockies, South Texas and the Northeast. That's where we've experienced the growth, and that's where we believe we will see incremental growth. But I'm going to be clear, 60% of our growth in our CapEx is going into the Permian today and everything else is participating in the remainder. And so the Permian remains the market for growth and everything else is an incremental growth opportunity for us. 
Operator: [Operator Instructions] Our next question comes from Steve Ferazani from Sidoti. 
Steve Ferazani: I wanted to ask about the continued strength in aftermarket. It's multiple quarters over $45 million in revenue and now second out of 4 quarters where your margin is 23% or better. Multiple quarters ago, you talked about the strength coming from pent-up demand coming out of COVID and maintenance overdue. But you're continuing to grow that business is up 8% year-over-year. Same type of demand patterns you're seeing on the contract compression or anything different going on in Aftermarket? 
D. Childers: Thanks for the question. The driver really of the revenue, but certainly the margin expansion that you're seeing in AMS is due to a couple of things. Number one, the mix. So we're seeing a higher amount of service work compared to just parts pull-through. And That's certainly impacting the margin. And second, the team has done a great job of seeking higher margin work with customers. 
 And then finally, I'm just going to point out that the market for labor is really tight today. And we have a tremendously talented workforce that is in high demand. We don't necessarily see that abating. And I'm also going to just close with, however, it's a notoriously difficult business to forecast. So with that caveat, we still are very bullish and ambitious of the value that we're going to get from -- through the AMS business segment in 2024. 
Steve Ferazani: You noted how much of that is tied to the strength in your service personnel and your response times. How has it worked for you in terms of ability to retain labor and labor costs? Is it easier in what would be a weaker market in other ends of oil and gas right now? 
D. Childers: Correctly, the answer is yes. This slight low that we're seeing in natural gas production growth and in the market right now as everybody is getting ready for what is going to be a ramp in '25 and beyond has given us an opportunity to stabilize and we've seen that in the labor pool a bit. That said, we still cannot get enough labor, more labor is going to equate some more work and growth in our AMS business, in particular. So we're still fighting the good fight to bring in as much -- bringing and train as much talent as we can. The market is really still looking for more. 
Steve Ferazani: Great. Just a quick one on the fleet high-grading. What's left in terms of make-ready on idle capacity? I know your maintenance CapEx was down again, I'm assuming it was produced make-ready and general asset sales. We at the latter stages on that? 
D. Childers: We are. We're really happy with the progress we need to standardize the fleets to improve our fleet competitiveness, fleet age. All of that was really critical before we invested in and added the technology into the fleet that we've added. But we still have a few pockets in some of the outlying basins that we would be willing to sell for the right price. 
 But candidly, in the market that we're in, we're just as happy to continue to operate as we are to part with it. So it's all going to be a function of the buyers appetite and assignment of value. 
Operator: There are no more questions. Now I'd like to turn the call back over to Mr. Childers for final remarks. 
D. Childers: Great. Thank you, everyone, for participating in our first quarter call. Archrock is in an enviable position and the market is strong. 2024 is off to a great start and I look forward to updating you on our progress next quarter. Thank you, everyone. 
Operator: Thank you all for attending today's call. We hope you have a wonderful day. You may now all disconnect.